Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to the Adecco Group Q2 2025 Results. [Operator Instructions] I would now like to turn the call over to Benita Barretto, the Adecco Group Head of Investor Relations. Please go ahead.
Benita Barretto: Good morning, and thank you for joining the Adecco Group's Q2 results conference call. I'm Benita Barretto, the group's Head of Investor Relations. And with me are the Adecco Group's CEO, Denis Machuel; and CFO, Coram Williams. Before we begin, we want to draw your attention to the disclaimer on Slide 2. Today's presentation will reference GAAP and non- GAAP financial results and operating metrics. This conference call will include forward-looking statements. These statements are based on assumptions as of today and are therefore subject to risks and uncertainties. Let me now hand over to Denis and the results report.
Denis Machuel: Thank you, Benita, and a warm welcome to all of you who joined the call today. Let's turn to Slide 3, which provides an overview of the quarter. We've increased market share with the Group and Adecco ahead of key competitors by 205 and 130 basis points, respectively, this Q2. Revenue trends improved sequentially across all GBUs. Adecco returns to growth with revenues up 2% year-on-year on a trading day adjusted basis, led by Adecco Americas, up 14% year-on-year, and Adecco APAC, up 9% year-on-year. Gross profit was EUR 1.1 billion with a gross margin of 18.9%, a healthy result, reflecting current business mix and firm pricing. EBIDTA, excluding one-offs, was EUR 141 million, with a 2.5% margin, reflecting effective cost discipline, agile capacity management and the timing of income from the FESCO JV. Adjusted EPS was EUR 0.46 with lower one-off charges, relative to the prior year period. Operating cash flow was EUR 81 million, driven by disciplined working capital management and a best-in-class DSO. Cash conversion remains strong at 98%. Moving to Slide 4. The Group's strategic execution continues to drive market share gains. On the left, we show relative revenue growth. In Q1, the Group gained 30 basis point share and Adecco 130 basis points. In Q2, share gains increased to 205 basis points for the group with Adecco gaining a further 130 basis points. On the right, we show the improvement in year-on-year flexible volume trends across the Adecco GBU and in its 12 largest markets year-to-date. The Group's sharpened execution positions us well in this improving market environment. Let's turn to Slide 5 now, which highlights recent client wins. First, Adecco secured a significant win with a global OEM that needed support with its expansion into EV battery production. The client increased Adecco's share of wallet, thanks to our AI-driven recruiting tools, such as AI-bots and Career Assistant, ability to deliver high-quality labor at scale and our real-time workforce analytics. Second, LHH and Adecco won a large-scale permanent recruitment mandate from a global consulting firm. The client chose us for our proprietary cross-GBU candidate platform, speed in delivering top-quality candidates and proven industry expertise. And third, Akkodis signed a multiyear contract with a leading French defense company. The clients sold to streamline suppliers while expanding its workforce. Our technical expertise and AI-enhanced processes to accelerate innovation stood out. In addition, our ability to scale capacity and implement a well-structured outsourcing model help cement our position as a preferred supplier. These wins demonstrate the group's commercial excellence and competitive edge, as we more effectively lever our digital expertise, scale and breadth of offering, creating higher value-add cross-GBU client solutions. Let me now hand over to Coram who will provide details on the Q2 results.
Coram Williams: Thank you, Denis, and good morning to everyone. Let's discuss the developments within each GBU, beginning with Adecco on Slide 6. Adecco delivered EUR 4.6 billion in revenues, up 1.7% year-on-year on an organic trading days adjusted basis and sequentially improved by 3%. Flexible placement grew 1%. Year-on-year growth in volumes improved through the period, most notably in North America, France and Spain. Outsourcing revenues were up 7%. Permanent Placement was 9% lower, and MSP grew 7%. SME revenues grew 4% year-on-year, and revenues from large and global customers also improved sequentially. Gross margin was healthy, reflecting lower Permanent Placement volumes, country mix in Flexible Placement and firm pricing. Productivity was broadly stable. Gross profit per selling FTE rose 0.5%, while selling FTEs reduced 3%. The EBITA margin at 3.2% was 20 basis points lower, driven by G&A savings, agile capacity management and the timing of income from FESCO, which was received in Q1 this year and Q2 last year. Let's move to Adecco at the segment level, starting with Slide 7. In Adecco France, revenues improved from minus 9% in Q1 to minus 4% in Q2, outperforming the market. Food and beverage, retail and construction were robust. However, logistics, healthcare and autos continued to weigh. The EBITA margin of 3.5% reflects lower volumes and effective cost mitigation. Looking forward, a solid pipeline and further G&A savings will support profitable growth. In Adecco EMEA, excluding France, revenues were flat, improving from minus 2% in Q1 with the segment gaining market share. Looking at the larger markets, Iberia grew 10%, driven by strength in food and beverage, retail and manufacturing. Revenues in EEMENA and Benelux were both up 8%. Revenues in Italy were 2% lower, weighed by softness in autos and manufacturing, partly mitigated by strong logistics activity. In Germany and Austria, revenues were 5% lower. IT tech, manufacturing and logistics were challenged, and autos were strong. In the U.K. and Ireland, revenues were 6% lower. Muted demand in logistics and the public sector was partly mitigated by strong growth in consulting and food and beverage. The segment's EBITA margin of 3% reflects the current client and solutions mix and strong SG&A discipline. Management continues to manage capacity in an agile way with modest head count increases in Iberia and EEMENA, while rightsizing in slower markets, such as Germany and the U.K. Let's turn to Slide 8. Adecco Americas' revenues grew 14%, outperforming peers. North America rose 10%, evidencing continued traction with its turnaround plan. Recent client wins supported excellent growth in consumer goods and food and beverage, while manufacturing was strong. In Latin America, revenues grew 21%, led by Colombia, Peru and Brazil, although Mexico remained soft. The region continued to grow strongly in consumer goods, food and beverage and manufacturing. America's EBITA margin of 1.7% reflects higher volumes, current business mix and strong SG&A discipline. Last but not least, Adecco APAC revenues were 9% higher and ahead of the market. Revenues rose 7% in Japan, 17% in Asia and 13% in India. In Australia and New Zealand, revenues were 5% lower. The region's growth was led by IT tech, retail, consulting and the public sector. The EBITA margin of 4.6% predominantly reflects the timing of FESCO income. Excluding FESCO, the EBITA margin was 10 basis points lower with G&A savings offset by mix and investment in capacity to capture future growth opportunities. Let's move to Akkodis on Slide 9. Akkodis' revenues were 6% lower year-on-year on an organic constant currency basis. Consulting and Solutions revenues were 5% lower, with the business operating in relatively soft markets. By segment, EMEA revenues were 8% lower. Germany declined 14% due to auto headwinds. France was resilient, 3% lower, but sequentially improved and ahead of the market with positive momentum in aerospace and defense, autos and energy. North America revenues were 4% lower, impacted by the ongoing downturn in tech staffing. However, Consulting & Solutions grew strongly with revenues up 30%. APAC revenues rose 1%, with Japan and China up 4%, supported by strong growth in IT tech and autos. Australia was 3% lower, including contribution from the recently acquired Barhead Solutions. The EBITA margin of 1.6% was 330 basis points lower year-on-year. Sustained pressure in Germany impacted the margin by 140 basis points year-on-year, and the ongoing downturn in tech staffing weighed by 70 basis points. The remaining movement was driven by lower volumes and trading days in consulting. Management is optimizing North American staffing operations and swiftly executing a turnaround in Germany to improve Akkodis' profitability. Excluding Germany, Akkodis' EBITA margin was 4.3%, and Akkodis' utilization rate was strong despite Germany at 91%. Let's turn now to Slide 10, which provides a deep dive into Akkodis Germany. Akkodis Germany's H1 performance has been significantly impacted by ongoing headwinds in autos. OEMs and Tier 1 suppliers have reduced or delayed projects, as they transform. Akkodis' associated revenues have dropped by approximately 20% compared to pre-crisis levels. A good dynamic in other sectors, including rail, aerospace and defense is not yet able to outweigh the challenges in autos. With market demand curtailed, utilization rates have moved to around 85%. Since consulting is a bench model, this has meaningfully impacted the profitability of the unit. In addition, SG&A levels are too high for current market dynamics. In response, the group has launched a EUR 40 million plus savings plan. Following constructive discussions with the works councils, head count has been adjusted, affecting approximately 450 consultants and employees. G&A savings actions have been taken and further savings are in the pipeline centered on real estate optimization. The plan is well underway. To date, a savings run rate of over EUR 30 million has been locked in. We estimate the turnaround plan will generate one-off restructuring charges of approximately EUR 40 million. mostly in Q3 2025 and including an initial charge of EUR 6 million booked in Q2. Looking forward, these actions will enable Akkodis Germany to show improvement in the third quarter and return to healthy run rate profitability by the end of 2025. We also supporting improvement in the group's H2 margins. Let's move on to LHH and Slide 11. Revenues in LHH were 1% lower year-on-year on an organic constant currency basis and 4% higher sequentially. Professional Recruitment Solutions revenues were 7% lower outperforming the market and improving sequentially, particularly in Japan. However, key markets, the U.S., France and U.K. remain soft. Recruitment Solutions gross profit was 8% lower, with permanent placement 6% lower. Productivity was flat with billing FTEs down 5%. Career transition and Mobility was very strong given a demanding comparison period. Revenues grew 5% with 10% growth outside the U.S. Its pipeline is strong. Coaching & Skilling revenues were 12% higher. Ezra's revenues increased 39%, reaching a new record level with more scale generating healthy gross margin expansion. Its pipeline is strong, and the average contract win size is increasing. Revenues in general assembly reflect the exit of the B2C business. However, B2B was up 31%, with the business seeing strong take- up of its AI offerings. LHH's EBITA margin of 9.5%, 20 basis points lower year-on-year, mainly reflect lower volumes in professional recruitment solutions, largely offset by SG&A discipline. Let's turn now to Slide 12, which shows the Group's gross margin drivers on a year-on-year basis. Gross margin was healthy at 18.9%, 50 basis points lower on a reported basis. Currency translation had a negative impact of 5 basis points. Flexible and permanent placement each reduced margin by 15 basis points. Outsourcing, consulting and other had a 20 basis point negative impact, mainly driven by challenges in Akkodis Germany. And Training Up and Re-skilling had a positive impact of 5 basis points, mainly driven by Ezra. Let's look at Slide 13 and the Group's EBITA bridge. At 2.5%, the EBITA margin, excluding one-offs, was 60 basis points lower year- on-year, driven by a 5 basis point impact from currency translation, a 45 basis point impact from organic gross margin developments, a 10 basis point positive impact from operating leverage, including positive contribution from G&A savings and a 20 basis point negative impact from the timing of FESCO JV income. But the Group continues to manage selling and delivery, IT and G&A costs tightly. In Q2, SG&A expenses were 1% lower, with G&A down 5%. Selling FTEs were 5% lower, driving a 2% productivity uplift. Total FTEs were 4% lower year-on-year. Let's turn to Slide 14 and the Group's cash flow and financing structure. Cash conversion was strong at 98%. DSO was flat year-on- year at 52.5 days, a best-in-class result. Cash flow from operating activities was EUR 81 million compared to EUR 162 million in the prior year period and in line with normal seasonality. The year-on-year difference in cash generation was driven by working capital absorption for growth. CapEx was EUR 29 million, and free cash flow was EUR 52 million. As a reminder, the Group's cash flow generation is weighted to the second half. The quarter end net debt-to-EBITDA ratio was 3.6x, weighed by lower EBITDA. Net debt was slightly below EUR 2.9 billion and EUR 90 million lower year-on-year, with a lower dividend distribution, partially offset by working capital absorption. The Group remains firmly committed to bringing the net debt-to-EBITDA ratio to 1.5x or below by the end of 2027, absent any major macroeconomic or geopolitical disruption. We benefit from a robust financial structure with fixed interest rates on 80% of its outstanding gross debt, no financial covenants on any of our outstanding debt and strong liquidity resources, including an undrawn EUR 750 million revolving credit facility that was successfully renewed in the Q2 period. Given the year-to-date run rate of gross interest expenses, the group has today lowered FY '25 guidance to EUR 75 million from EUR 80 million. The Group will also repay the CHF 225 million senior bond, as it matures this Q4, bringing down gross debt levels. Let's turn to Slide 15 and the Group's outlook. Volumes improved through Q2, and in Q3 to date, positive momentum continues. For Q3, the group expects gross margin to rise sequentially in line with seasonality. It expects SG&A expenses, excluding one-offs, to be modestly lower sequentially. The Group, therefore, expects profitability to improve from H1 levels, as we progress through H2. And with that, I'll hand back to Denis.
Denis Machuel: Thank you, Coram. Let me conclude with Slide 16 and key takeaways. In Q2, the Group increased market share gains with solid margins, and revenues improved sequentially across all the GBUs. Performance of Adecco U.S. improved significantly. And Adecco -- Akkodis Germany's turnaround is well underway. We expect this business to achieve healthy run rate profitability by year-end. Management remains laser-focused on managing capacity with agility to drive share gain and productivity in mixed markets, in addition to securing G&A savings. We look forward to meeting with you to discuss the group's priorities and progress at our Capital Markets Day on 26th of November in London after the Q3 results. With that said, thank you for your attention, and let's open the lines for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Michael Foeth with Vontobel.
Michael Foeth:
Vontobel Holding AG: Two questions from my side. The first one is, if you could provide an update on your AI venture with Salesforce, see where that stands and how you expect that to benefit your business going forward? And the second question would be, if you could share your thoughts on the general trends that you see in European automotive market going into the second half of this year and into next year when talking to your clients? That will be it from my side.
Denis Machuel: Thank you. So I'll take both. The first thing around the joint venture that we have with Salesforce is we are really trade blazing the way we use Agentic AI to create an absolute innovation in the way we help our clients strategize their workforce management when the workforce is becoming hybrid with humans and agents. And so what we are creating is a platform that's going to sit on the desk of the C-suite to really help with all the data, external data and internal client data to help the C-suite really look at where they can identify their business and put AI, where teams can -- have to be upskilled and reskilled with AI, the efficiency that they can get, et cetera. So it's really a buddy to the C-suite to help them strategize their workforce. The product is under development, and we will have a live demo on Dreamforce in October in San Francisco and general availability from January '26 onwards. It's progressing super well. We are pushing the limits of technology there, but it's extremely promising. And that puts us really at the forefront of Agentic AI. On the second question regarding the automotive market. It's true that it has known better days. Definitely, we see the biggest pressure is with our German -- the German OEMs. If we look at the impact on our results, in Adecco, autos is only minus 1%, and Akkodis is minus 5% overall. Of course, in Germany, we are minus 14% because of the particular pressure on the German OEMs. I must say, some other OEMs are in a bit of a better shape because they have done the restructuring several years in a row. What we are here, however, particularly from the German carmakers, is that, as they need to be more agile, as they need to be more flexible, they will outsource more to the future. So even though, yes, we are suffering currently, particularly in Germany, in Akkodis, we know that we have excellent relationship with the big names, and they're asking us to stay by their side because they will need us in the future to outsource more because they need more flexibility.
Operator: Your next question comes from the line of Andy Grobler with BNP Paribas.
Andrew Charles Grobler: A couple from me, if I may. Firstly, just on margin progression. You had really good growth in APAC and EMEA ex France. Within the Adecco, GBU was flat, but margins were down in both. Why do you think you didn't -- and stripping out the FESCO stuff within APAC, why do you think you didn't get more operational leverage in those regions? And then secondly, just going back to Slide 4, you talked about improved momentum. Can you just talk through the exit rates from Q2 and into early Q3, please?
Denis Machuel: I think Coram will take both.
Coram Williams: Sure. Andy, absolutely understand the point on APAC and EMEA ex France, but you do have to dig into each of them. I think, on APAC, as you rightly mentioned, almost all of the year-on-year reduction in margin is about the timing of FESCO. And the underlying reduction was only 10 bps. What we're doing in APAC is investing in capacity. And I have to say APAC has been something of a virtuous circle for us because it has consistently demonstrated growth, consistently demonstrated market share, and when we make those investments, we get returns on them. So the operating leverage is there, but we've chosen to use it in Q2 to fuel further growth. In terms of EMEA ex France, you can see there are lots of ups and downs in terms of where those territories are. They have all consistently delivered market share gains, which I think is important. There's a little bit of client mix on a temporary basis in there. But actually, the pressure on margins in the short term comes from perm, which, as you know, has been a pressure point, particularly in Europe. There's an ongoing downturn. And that does in the short-term impact gross margin. There is good SG&A discipline across EMEA, but it's not at the moment enough to affect that perm pressure. There's nothing structural going on there. It's a timing and cycle effect. And then in terms of exit rates, I mean, we have seen, as you know, very consistent improvements in the business from the start of the year. It's broad-based in Adecco. It's modest every month, but it continues. In Q2, we saw several weeks where the volumes were positive, particularly in the back end, and July has been positive for us. So we do see continued momentum in the business, and we would expect that to continue.
Andrew Charles Grobler: Great. Can I just ask 1 follow-up, just on the APAC point. As the group returns to growth, hopefully through the back end of this year and into next year, do you expect to see kind of the normal drop-through rates? Or are you going to have to reinvest to fund that growth to the extent that we don't get the operational leverage that we may hope for?
Coram Williams: No, it's -- look, it's a good point. In APAC, I think the growth prospects are so strong that we've decided to reinvest. It's one of the areas where we consistently put head count in, and we consistently get growth and very good margins. It is, as you know, a high- margin business for us. In terms of the wider drop-through, we've been running on a recovery ratio recently of about 43%. As the business returns to growth in Adecco, we would definitely expect to see the normal drop down of 50% and maybe even a little bit higher. And that is what underpins our confidence in H2 margins because that operating leverage will come through as the momentum continues, and it will drive profitability.
Operator: Your next question comes from the line of Remi Grenu with Morgan Stanley.
Remi Rene Grenu: Three, if I may. So the first one is on Adecco France, so there seems to be a nice improvement there. Interested in terms of volumes, how this has evolved by end market and type of clients? And also, I think you previously mentioned that you had some headwinds with the top 3 clients in that country, so can you maybe make an update on that? And what role it has played in the sequential recovery we see in that country? So first question on France. Then the second one is on Akkodis. So I think from the comments you were making on the margin ex Germany in both Q1 and Q2, it seems to me, and correct me if I'm wrong, that the losses have deepened a bit in Q2, but you're now engaged in restructuring. It seems its underway. So would you expect Q2 to be the peak loss at Akkodis? So that's the second question. And then the third one to elaborate a little bit on what Andy was asking on margin, are you sticking to the comment that you think you can make it to 3% over the full year? And if so, I think that back of the envelope calculation would probably imply that you're getting close or slightly below 4% in Q4, between 3.7% and 4%. Do you think it's a reasonable assumption for us to work on? And do you think that's achievable? Just trying to understand the organic growth and SG&A trajectory you're seeing for the rest of the year.
Denis Machuel: Thank you, Remi. I'll take the question on France, and Coram will take the other 2 questions. So yes, we are pleased with the way our improvement plan is delivering in France. In Q1, we were at minus 9%. Q2, we are minus 4%. So still negative, but the market is even more negative. So for the first time since quite a long time, we've outperformed the market overall, 13 basis points, not massive, but it's a good trend. The pressure point in France is the permanent recruitment, which is down 11%. And you were talking about these large clients. Yes, I mean, there's still a pressure point on these large clients, particularly in logistics, in healthcare. And the last 2 ones that we were -- the last 3 ones that we were mentioning are not fundamentally supporting at the moment. But the food and beverage sector, the retail sector, construction, that was a key focus for us. I mean, these are getting good traction. So we've seen a sequential improvement of the weekly volumes, even July was a bit better than Q2. So -- and we have -- moving forward, we have some tailwinds that are linked to the -- some of the very nice client wins. The pipeline is improving, so even though our top 3 clients are not really supporting, the rest of the business is having momentum that shows that the action plan that we put in place, we deploy our hybrid delivery platform with discipline with our central delivery channel. We boost our SME business. We are accelerating on nuclear and construction. Our G&A savings are flowing nicely, and we start to deploy also AI agents. So all that together gives -- puts us, I think, in a much better place for the second half of the year in France. So I'm seeing really France positively now.
Coram Williams: And let me pick up on Akkodis' margins and the Group margin for the full year. On Akkodis, as I mentioned in our opening remarks, it's a 330 basis point drop year-on-year. The main components of that are 140 basis points as a result of Germany, where the restructuring is already underway, 70 basis points from talent, which is primarily the U.S., which is -- we saw good competitive performance in talent, particularly in the U.S., but we do continue to right size because of the ongoing pressures in that business. And the remainder is really trading days in Q2 and lower volumes in a couple of our other consulting markets. To your point about the trajectory for the rest of the year, I mean the biggest driver, obviously, of where we are in Q2 is Germany. And as we've mentioned that savings plan is already being executed. It's EUR 40 million plus of savings run rate by the year-end, EUR 30 million of that is already locked in. And we would expect a modest benefit in Q3. So Germany margins will improve in Q3, and that will help Akkodis. And we would expect to see the full run rate come through in the Q4 margins, which would imply Germany being back to a mid- single-digit EBITA margin on a run rate basis by year-end. And we're assuming that on the basis of current revenues. So we are not expecting a pickup in terms of the top line in that business in the second half. So I think Q2 is the trough for Akkodis margins, and you will see a pickup in Q3 and strength in Q4. On the group as a whole, to be clear, we are firmly committed to achieving the 3% EBITA margin floor on an annual basis, so in 2025. And there are a couple of ways that we get there. And these are the reasons why we are confident that H2 margins and profitability will improve. As we discussed a couple of minutes ago, we've seen a consistent modest improvement in flex volumes. That will drive operating leverage for us in the second half. We are tightly controlling G&A. So the savings that we've delivered last year continue to flow through the P&L. And as you can see from our numbers, we are pushing for more and identifying more. And we'll continue to manage selling capacity in an agile way, balancing share gains and productivity. And stepping back, if you put together the components of our guidance for Q3, it implies an improvement in margins from where we are. You can do the math, you'll get to north of 3%. And in Q4, we'd expect further operating leverage, and obviously, the full run rate benefit of the Akkodis Germany restructuring. You won't get to 4% in Q4, but there will be progress from Q3 to Q4, and that's why we are committed to achieving that 3% EBITA margin floor.
Operator: Your next question comes from the line of Suhasini Varanasi with Goldman Sachs.
Suhasini Varanasi: Just a couple for me, please. If you think about the gross margin that you reported in Q2, it was a touch lower than the expectations you gave at the time of 1Q results. Can you discuss what changed versus your expectations? And how we should think about Q3 evolution? Secondly, on the SG&A, when you think about the modest improvement in SG&A sequentially in Q3, can you break out how much benefit we can expect from Akkodis? I think you said modest benefit from the restructuring program in Q3. And therefore, how much should be the underlying change sequentially for Q2 that we should expect?
Denis Machuel: I think Coram will take both. Thank you, Suhasini.
Coram Williams: Thank you. So on gross margin, in Q2, and we've given you the moving parts year-on-year. And just to remind you, obviously, there's flex mix, particularly the country mix. So the growth coming from slightly lower gross margin countries. There's the ongoing pressure in perm. And then obviously, there is the short-term pressures in Akkodis Germany, which are flowing through on outsourcing, consulting and solutions. Now, when we guided in Q2 on GM, we guided to reflect normal seasonality, so we were pointing to 30 bps lower from Q1 to Q2. To your point, we came in 50 bps lower. There's really 2 reasons for that: one, FX, there was volatility in Q2, which we haven't anticipated at the beginning of the quarter. That was about 5 basis points. And then the rest is really that we got faster growth than we were expecting in Flex skewed towards the lower gross margin countries. And Flex, as a result, was 15 basis points lower versus an expectation at the beginning of the quarter that we would be flat. So that's the movement in Q2. On Q3, Q3 is typically the strongest gross margin quarter for the industry. You get the benefit of the additional working hours, and we would expect to see that helping us on a seasonal basis from Q2 to Q3 sequentially. And we're pointing to 20 to 30 basis points of uplift. To be clear, that is still down year-on-year. It's down 20 to 30 basis points. And the moving parts are FX, where we'd expect ongoing volatility, so let's say, 10 basis points negative. We expect there to be a little bit of further pressure on perm, about 10 basis points. Career transition, we think, will be flat. Outsourcing, Consulting & Solutions, a small negative, 10 to 20 basis points, driven by Akkodis Germany. Training, we think, will be up, reflecting the benefits that we're seeing in that service line. And we'd expect flex to be flat to 10 basis points up. And you may say, well, why would Flex be different? And the key point is that the mix is starting to evolve in our favor on flex. You can see the sequential momentum that we've got, for example, in the U.S., which is a higher gross margin territory and a couple of our other territories, where we're really starting to see that sequential momentum, and that's what's going to be different in Q3. On SG&A, in terms of the -- what we'd expect to happen in Q3, we're guiding for it to be lower modestly on a sequential basis. So we came in, in Q2 on EUR 954 million. There is always a little bit of seasonality between Q2 and Q3. It's usually about EUR 10 million. And then we'd expect a further modest sequential benefit, which will really come from sustained G&A discipline and continuing to manage our capacity in an agile way. As you know, on G&A, we've got a couple of territories where we continue to find savings. We've discussed these in previous calls, the U.S. and France, for example, Germany in Akkodis does help, but it's largely a Q4 benefit on SG&A rather than a Q3 benefit.
Operator: Your next question comes from the line of Simon LeChipre with Jefferies.
Simon LeChipre: Yes. Three questions, please. First of all, on SG&A, I mean FTE came down by 4% year-on-year in the quarter, but SG&A was just down like 1%. So could you just explain the delta, please? Secondly, as a follow-up to -- on the 3% EBIT margin target, I mean, it seems like you expect -- I mean, you will need gross profit margin to be up year-over-year in Q4 to achieve close to 4% EBIT margin in the quarter. So, I mean, would you confirm this? And I mean, how do you expect to be able to manage to get such results? And lastly, on cash, I mean, any view on free cash flow for H2? And where do you think net debt/EBITDA could be by the end of this year?
Coram Williams: Sure. So let me pick up on those points. I mean, on the SG&A, you're right, the decrease in FTEs was 4% year-on-year, and there was a 1% reduction in SG&A. Remember, there is always a differential because of wage and merit increases, and we saw this in Q1 as well. So you do not get all of the benefit of the FTE reduction on a year-on-year basis. In terms of the 3% EBITA margin floor, I want to be clear, we're not expecting a significant uptick in gross margin in Q4. That's not the way that we get to the 3%. Just to repeat, we expect operating leverage on the back of the momentum that we're seeing in flex volumes. We are tightly controlling G&A, and we are managing capacity in an agile way. Plus, in Q4, you get the benefit of the swing on Akkodis Germany because of the run rate coming through on the savings plan. That's what gets you there. I would -- we are not banking on a structural change in gross margin in Q3 and Q4. And then, in terms of cash flow, I mean, our cash flow is heavily H2 weighted. So we would expect a good cash flow in H2. We are tightly managing working capital. You see that in our DSO figures, which are flat year-on-year, which is a best-in-class result. But we also need to recognize that the business does absorb working capital when it grows. You've seen that in the Q2 numbers. The differential between operating cash flow in Q2 this year and last year is all about that working capital absorption and the sequential momentum we see, for example, in Adecco, which is 3% between Q1 and Q2. And if revenue developments continue, then we'd expect to see a bit of working capital absorption in H2 as well. So we'll see good cash conversion. It probably won't be quite as strong an operating cash flow outcome as we saw in H2 of last year. On leverage, I think it's really important to recognize that absolute net debt has come down, and it's come down by just under EUR 100 million year-on-year. We see the benefits of the reduced dividend flowing through, but it's partially offset in the short term by that working capital absorption as we grow. So the main impact on the leverage ratio, and it's always at its peak in Q2 is actually driven by the rolling 12-month EBITDA, which has been lower than you might have expected, as we've protected capacity to gain share. That strategy is working. You can see the share gains in the business. You can see the momentum on the top line, but it has had an impact on the leverage ratio in the short term. Now, we will see a significant improvement in the leverage ratio in H2, and it will come from that H2 weighted cash flow, bringing down absolute net debt, and it will come from the margin improvement in H2 flowing through to the 12-month rolling EBITDA. And so both parts of the ratio will see a benefit. And remember, we'll also, we mentioned this in the script, bring down gross debt levels when we repay the CHF 225 million senior bond in Q4.
Operator: Your next question comes from the line of Steve Woolf with Deutsche Bank.
Steven John Woolf: Just on Akkodis, can you just clarify whether the cost savings you're putting through now, are they incremental to the overall plan you had previously? Secondly, if I go back to Slide 4 and look at the volume improvements in Flex, if I was to add on to that wages and then the pricing, does that line stay about the same or presumably just improves that a little bit more? And then finally, in Akkodis and generally in the U.S. tech recruitment, what do you think you need to see out there to remove that blockage that seems to be? What's in your feedback from companies as to why they're not hiring in this space? What generally is the feedback? Obviously, they're letting people go.
Denis Machuel: I'll take the first and the third one. I think Coram will take the second one. So with regards to the Akkodis Germany plant, yes, I mean, we are doubling down on the restructuring plan. We had -- we were already pivoting the business before the German auto crisis. We were moving away from legacy into -- moving into digital engineering. We're moving delivery to offshore. But then the Germany auto had this significant downturn. And the way we have articulated our -- the acceleration of our restructuring plan is on several things. First of all, we do a portfolio adjustments. We have a few small disposals. We talked about this very significant restructuring to manage the bench, so we are rightsizing the teams. It's about 12% of the team that is exiting. And we are also really accelerating the move to offshore to keep on our competitiveness. There's also a real estate point, where we go, again, one step further than we had anticipated. And -- but at the same time, we're also pushing, and I insist on that. We're also pushing into the diversification to capitalize on other sectors. Of course, we want to keep our great relationship with the carmakers because as I said earlier, they're going to be ready in some time for more outsourcing. But we believe that now we are -- we have a big potential. On the defense sector, we see some beginning of a momentum. We have -- all the big names there are our clients, but we also see traction in energy, in railway, in life sciences. So overall, yes, we are really extending the initial plan, go much deeper to -- as Coram said, to have a very nice exit rate for this year. And both reduce the dependency on autos and then position Akkodis Germany for growth and definitely group accretive margins.
Coram Williams: On your second question around wage inflation, pricing and volumes, wage inflation continues. It's modest. It's not at the same significant levels that we saw a couple of years ago, but it is there, and it is modest, it is positive. And most importantly, we continue to see a positive spread between pay rates and bill rates in the Adecco business. So both of those are additive. As we've touched on in previous quarters, there is a country mix effect, which works a little bit against that. But it is good to see, and you can see it on that Slide 4 that the G12 actually has got more momentum right now than some of the smaller territories. So that's positive. I think if I step back, on Q3, what we'd expect to see is modest volume momentum, a little bit of help from wage inflation. And remember also, there is a benefit on the comps in Q3 of around 200 basis points. So you should see decent growth in Q3.
Denis Machuel: And as far as the Akkodis U.S. piece, yes, well, actually, we've seen the overall tech staffing market is still soft. We see some signs of sequential improvements. We have a little bit of a pickup in job orders, and we are more or less performing in line with the market. To your point, what needs to be true for the market to recover, we still a lot of -- there's still a lot of questions around the impact on AI, and we believe there is probably some impact on AI, particularly on entry-level software developers. It's hard to quantify at the moment. But definitely, when we see the large companies, large tech companies laying off some of their developers, we believe that, that has an impact on that market. However, there's still -- I mean, this market has a variety of profiles. It's still a massive market. So with -- once companies will have figured out what they really need in terms of technology and support and engineers, when the market will probably regain some dynamic. At the same time, as Coram said earlier, we're also rightsizing the business. I mean, we also have a G&A savings plan there to make sure that we're lean and efficient. But we don't call it a recovery yet, even though we see a little bit of a job orders pick up. And I must say that -- sorry, I must say that at the same time, we have 2 indicators that tell us that it's still -- I mean, there are still opportunities. Our Akkodis consulting business is growing super well. We grow at 30%. So that means higher value projects, higher value added to clients is irrelevant. We also see, and it's a sign that the market will not probably pick up soon, is the career transition continues to be really quite strong, particularly with the tech profiles, particularly coming from the tech industry.
Operator: Your next question comes from the line of Rory McKenzie with UBS.
Rory Edward McKenzie: Rory here. Just 2 questions left, please. Firstly, on Adecco North America, obviously, up 10% is great in the market, which is still in small declines. Can you talk about the type of contract wins you've had to support that? Are they just big wins within the last 12 months that are still ramping up? Or is this growth within existing clients? And what's the pipeline ahead? Basically, should we expect this to stay at that level of growth into Q3 and Q4. And then secondly, Ezra sounds like it's performing extremely well. What's the long-term thoughts about whether that business can go? And do you think it will always work best as part of LHH, for example?
Denis Machuel: So thanks, Rory. So on Adecco U.S., yes, we're really pleased with the way the turnaround plan is delivering. Let me be clear. We are not done yet, okay? We still have a lot to go, profitability is not at the place we want it to be, but 10% growth in Q2, Q1 was at minus 2%. So there is momentum, and we believe that we can sustain at least for the next couple of quarters this kind of growth. Despite perm being significantly declining, perm is at minus 26%, and it's probably in line with what we hear on the market. To your question, yes, large accounts are growing 24%, SMEs are growing 4%. So there's still growth in the small and medium business, but it's true that we've won large businesses in retail, in consumer goods, in food and beverage, which is pretty nice. So we will continue that momentum because that's delivering. We're still very focused on branch profitability. We are cautious in branch openings, so we post some of them just to make sure that we optimize our resources. The pipeline of the large accounts is quite active. It's quite good. So of course, we need to transform, but that's pretty good. And we see a good momentum on our MSP business. We've been lagging behind for some -- for a long time. I think we're improving there. So that's -- yes, that's pretty good. In terms of -- and we, of course, continue to focus on reviewing our cost to serve. We are accelerating our near shoring because that delivers competitiveness. As far as Ezra, yes, we're super pleased. We're very encouraged by what Ezra is doing. This quarter, they've delivered again record revenues. This pipeline is very strong. The deal size is also growing, which is good. The NPS is absolutely amazing, is at its very best, both from clients and for people that are being coached. So there's a lot to do. Our gross margin is very healthy. We continue to fuel the development of that business because it's -- the market is expanding, clients are asking more and more for those type of services as well as reinventing coaching. It's democratizing coaching. At the same time, it helps support cultural transformation. And that speaks very well to the C-suite. It goes much beyond the one-to-one coaching. It's one-to-one coaching, but in the direction that the C-suite sets, and that's super powerful. So it will -- I'm convinced it will continue to be super successful and a very important pillar of LHH. And that really supports LHH strategy in terms of pinning its game, if I may say so.
Operator: Your next question comes from the line of Konrad Zomer with ODDO BHF.
Konrad Zomer: I've got 2 questions, please, one on leverage and one on Germany. The one on leverage, we all understand that Q2 is the high point of the year and that it's going to come down in the second half. But the most important factor that is going to reduce it is improving profitability. You've got 2.5 years to go to get to that level of 1.5x. And it's not the current dividend, it's not the SG&A focus, but it's the underlying market improvement that you need in order to get there. So what's the underlying staffing market improvement that you've built into your forecast of reducing leverage to less than 1.5x? And my second question on Germany. The restructuring that you're going through in Germany in Akkodis, the EUR 40 million and the 450 fewer consultants. Does that include your Adecco staffing business in Germany? Are you reducing the number of people that you place in Germany as well? Or is that like a completely separate entity?
Denis Machuel: I'll reply on the -- on Germany, and then, Coram will take your first question. It's only -- the restructuring in Germany only concerns Akkodis engineers. So it has no impact on Adecco. So it's very clear that it's the bench model that we are adjusting in Akkodis.
Coram Williams: And on the leverage point, Konrad, the -- I agree with your point that margin is important, but cash flow is also important. And I think one of the key points to note about where we are at Q2, as you say, it's always the seasonal peak. But right now, the calculation works against us, both in terms of H1 cash flow always being seasonally light and 12 months' worth of rolling EBITDA, where we've been protecting capacity to gain share. And so we will see a significant improvement this year in the leverage ratio, which comes through the seasonally weighted H2 cash flow. We're being super disciplined on working capital. You can see that in our DSO number and the margin improvement that we expect in the second half, which comes from operating leverage and real cost discipline on G&A and agile management of capacity. On the 1.5x target, which is where we expect to be at or below that target by the end of 2027, we are very confident we can reach it. And as we've discussed in previous calls, there are 2 parts to how we get there. The first is modest momentum continues on the top line. It gives us operating leverage, and it really moves the margin. We've talked about the drop-through on this business. It's 50%. In the shorter term, it should be better than that given the way that we've been running the recovery ratio. But we know the business is geared nicely to drop through at least half of the improvement in gross profit through to EBITA. So that is obviously one way that we get to 1.5x by the end of 2027. The second point is that if that momentum stalls or slows, then we will reduce capacity. We will reduce sales and delivery capacity. It's a EUR 2.5 billion cost base on an annual basis. In order to get to the leverage ratio on the back of the current revenues, you need about a 15% reduction in that sales and delivery capacity. And remember, there's quite a lot of flexibility built into that cost base. So we have our own FTEs in sales and delivery that are on temp contract, it's about 10%. We also have a natural attrition rate. And so we can adjust that capacity very quickly if we need to. So 2 very clear parts, our preference obviously would be for momentum on the top line, but we can get there in the event that, that stalls, and we do that by adjusting sales and delivery capacity.
Operator: Your next question comes from the line of Simon Van Oppen with Kepler Cheuvreux.
Simon Van Oppen: I want to dive a little bit deeper on Germany. So you mentioned in your Adecco GBU that autos were strong in Germany in the second quarter, whereas in Akkodis, you mentioned that there were strong headwinds. Can you please help me understand the dynamics that are currently at play in Germany, not only in autos, but the broader market as a whole? And what do you expect to see in the coming quarters given the confirmed U.S.-EU trade deal and the federal budget set to be voted upon in the second half.
Denis Machuel: So with regards to -- yes, it's quite interesting to see the pressure points in Germany, in Akkodis and not so much in Adecco. Well, actually, it says something about the fact that they're still producing cars, and they need support for that. And it's a sign that they are starting to flex more on the production side. And hence, that's a good runway for Adecco. But on the way they think about the design, their new cars, on the way they designed their new automatic driving systems on their engineering part, moving -- and as we know, they're hesitating. The carmakers are hesitating between truly going full electric vehicles, would they have hybrid models, et cetera. There's a lot of thinking, and they definitely have to -- done the restructuring that many other carmakers have done in the world. And that explains why they are reducing volumes for Akkodis at the moment because they are even shrinking their own R&D team. So that explains this paradox of Adecco having good traction, and Akkodis being under pressure. But as I said, we believe that once they've done their own [ adjournment ], if I may say so, that their -- and that's what they're telling us, they're going to outsource more. As far as the EU-U.S. trade deal, we -- well, actually we've seen an interesting trend from the beginning of the year. We've talked about that earlier, permanent recruitment being really, really dropping from like February, March because of the uncertainty created by the U.S. government. And as much as we've seen perm dropping, particularly in the Western world, that means North America and Europe, I mean, we still see some good traction in LatAm and APAC, but these 2 regions have been really impacted. We've seen flex volumes improving, which says something about the confidence. When you're -- and that's what we hear from our clients. When our clients are not confident, they don't recruit permanently. But because there is some activity, they take temporary workers. So that has supported that. Now we believe that the trade deal has given a landing zone now. And definitely, we could -- we can -- clients will now reassess where to operate, where would they have to move their supply chain or adjust, et cetera. So we believe that this is going to bring more visibility. And that's -- I think that it's good, it's good. So this is -- uncertainty is never good for the business. More visibility will help. Too early to know exactly. Clients are really figuring out there -- in this new playground, what options that they're going to take.
Operator: Your next question comes from the line of James Rowland Clark with Barclays.
James Rowland Clark: Just one for me, please, on Germany. You've mentioned in the presentation about good momentum in aerospace and defense. Obviously, there are some drags elsewhere in Germany. Could you help us with the sort of scale of the opportunity that you think is coming down the pipe, either discussions, the sort of scale of those or maybe even any wins you can indicate at this point? I'm just trying to get a sense of the size of the opportunity in defense versus your current group revenue exposure of about 5% to defense more broadly.
Denis Machuel: Yes. Let me give you at Akkodis level some numbers. The auto is minus 5% year-on-year, but aerospace and defense overall was plus 15% year-on-year. And so that's pretty good. Energy is plus 21%. Life science is plus 15% year-on-year. So all that, of course, lower volumes than autos, but that's -- we have good traction. We have very strong relationship with the likes of Thales, Naval Group, Rheinmetall, KNDS, MTU, ThyssenKrupp. So we start to see traction. We believe that the sector growth could be -- maybe around mid-single digit by the end of this year, on lower volumes, of course, than autos, but it's going to get traction. The stimulus package in Germany has not yet given its full impact, of course. It's going to take several quarters. But that puts us, I think, in a really positive mindset with regards to what's going to come up. And again, our clients expect us to be by their side as they have this order book growing nicely.
Operator: I will now turn the call back to Denis Machuel, CEO, for closing remarks.
Denis Machuel: Thank you, and thanks to all of you for having attended the call. Just in a nutshell, for the past quarters, we have seen a positive momentum, and we will focus on really sustaining it. As Coram said earlier, of course, we are managing our capacity in a very agile way. We will turn around Akkodis Germany in the same way as we are currently improving our performance in Adecco U.S. and Adecco in France. So fundamentally, I am very confident in the trajectory of the group. And during the CMD in November, we will tell you in more details what we do to execute our strategy, how our transformative actions are that we are layering on top of running our business are delivering and particularly how technology and AI are supporting our performance. So looking forward to interacting with you, of course, doing our Q3 results, but more fundamentally during the CMD. Thanks a lot for having been with us today.
Operator: Ladies and gentlemen, that concludes today's call. You may now disconnect.